Operator: Good day and welcome to Cresco Labs' Fourth Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jake Graves, Investor Relations for Cresco Labs. Please go ahead.
Jake Graves: Good morning and welcome to Cresco Labs' fourth quarter 2020 earnings conference call. I am joined today by our Chief Executive Officer and Co-Founder, Charlie Bachtell; our Chief Financial Officer, Dennis Olis; and our Chief Commercial Officer, Greg Butler, who will be available for Q&A. Prior to this call, we issued our fourth quarter and full year 2020 earnings press release. This document has been filed with SEDAR and is available on our Investor Relations website at investors.crescolabs.com. We plan to file our corresponding financial statements and MD&A for the three and 12 months ended December 31, 2020 on SEDAR subsequent to this call. Before we begin our remarks, I would like to remind everybody that certain statements made on today’s call may contain forward-looking information within the meaning of applicable Canadian Securities Legislation as well as within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Such forward-looking statements may include estimates, projections, goals, forecasts or assumptions, which are based on current expectations and not representative of historical facts or information. Such forward-looking statements represent the company’s beliefs regarding future events, plans or objectives, which are inherently uncertain and are subject to a number of risks and uncertainties that may cause our actual results or performance to differ materially from such forward-looking statements, including economic conditions and changes in applicable regulations. Additional information about the material factors and assumptions forming the basis for our forward-looking statements and risk factors can be found under Risk Factors in Cresco Labs' public filings available on www.sedar.com. Cresco Labs does not undertake any duty to publicly announce the result of any revisions to any of its forward-looking statements or to update or supplement any information provided on today’s call. In addition, during today’s conference call, Cresco Labs will refer to some non-IFRS financial measures such as adjusted EBITDA and operational gross profit, which do not have any standardized meaning prescribed by IFRS. We believe these non-IFRS financial measures assist management and investors in understanding and analyzing our business trends and performance. Please refer to our earnings release for the calculation of these measures and reconciliation to the most directly comparable measures calculated and presented in accordance with IFRS. These non-IFRS financial measures should not be considered superior to, as a substitute for or as an alternative to and should only be considered in conjunction with the IFRS financial measures presented in our financial statements. Please also note that all financial information on today’s call is presented in U.S. dollars, unless otherwise noted and all interim and financial information is unaudited. With that, I will now turn the call over to our CEO, Charlie Bachtell. Charlie, please go ahead.
Charles Bachtell: Good morning, everybody and thank you for joining us on the call today. We hope you and your families remain healthy and well. For those are on the call today who have participated in the U.S. cannabis for a long time as an investor, a patient, an employee or a business owner, your support and effort helped to build this sector in this fastest growing industry in the west, employing over 330,000 people with over $17.5 billion in the sales during 2020. So the meeting new investors and stakeholders on the call today joining us for the first time, welcome. I will begin our call this morning with some highlights from the fourth quarter and full year and review the five specific ways Cresco Labs delivered growth and shareholder value in 2020. I will also provide a preview of our growth drivers in 2021 and discuss some of our most recent announcements. Dennis will then cover our financial results and capital position in more detail. After that, we look forward to answering your question. In a year marked by unprecedented challenges, 2020 was remarkably validating for U.S. cannabis as the industry was designated as an essential business, alongside pharmacies and grocery stores. And for Cresco labs, 2020 was a remarkable year of execution and growth. At the outset, I want to spotlight that our results could not have been achieved without the outsized contributions from the entire Cresco Labs family. And I couldn't be more proud of what we accomplished together. In validation of our own thesis, we are winning this industry by building the most strategic geographic footprint, establishing meaningful material positions in each of those markets and prioritizing the middle two verticals of the value chain, branded product and the wholesale distribution of those branded products. Our record performance in 2020 proves the value of our differentiated strategy and demonstrates our best-in-class ability to execute it. We are telling a unique story of strategic breadth with depth and execution. The investments we made, the hard work devoted by our team, and our unwavering focus on the stated strategy led to outstanding results. Revenue in 2020 was $476 million, a year-over-year increase of 271%, the largest growth among tier one MSOs. We generated $116 million of adjusted EBITDA over 15 times more than 2019. With 274 million in 2020 net wholesale revenue, the highest among any operator, Cresco Labs is the number one wholesaler of branded cannabis products. Our retail revenue of $202 million for the year was up 316% from 2019, with $69 million in Q4 from 19 stores. Our Sunnyside retail platform generated average revenue per store of $3.6 million, highest among tier one MSOs. After delivering three consecutive quarters of more than 40% sequential top line growth in Q4, we substantiated this growth and generated another quarter of record revenue at $162 million, record operational gross profit margin of 55% and record adjusted EBITDA of $50 million. With all of the challenges that 2020 presented and the results that Cresco Labs produced, it would be hard to say that anyone managed the year better than this team. Last year, we introduced the framework for the five specific ways Cresco Labs would deliver growth and shareholder value in 2020. We dedicated ourselves to this strategy of creating strategic breadth with depth and execution. First, we invested our resources in the most strategic markets, including Florida, Cresco Labs will have meaningful operations in all seven of the top 10 most populated states in the country that have cannabis programs. We also now have operations in seven different markets with greater than $1 billion annualized run rate. With the recently announced Cultivate acquisition, we will have a top three market share position in three of these billion-dollar-plus markets. And in 2020, we prove that we're investing in the right states, as markets and our footprint grew 55% outpacing all remaining markets, which saw 34% growth. In Illinois and Pennsylvania during 2020, we completed the largest scaling of operations in our company's history. In Q4, we achieved our highest ever market share of both states. This is proof that when we invest in a market, we take share. We have established the most strategic footprint in cannabis and develop the proven playbook to gain leading market positions. Second, we are the number one wholesaler of branded cannabis products. 2020 net wholesale revenue was $274 million, by a meaningful amount to the most in the industry. In Q4 for BDS Analytics, our brand Cresco was the number one sold cannabis brand in the country. While our other brands like High Supply were among the fastest growing. During the quarter, we increased wholesale penetration by 12% sequentially and distributed our industry-leading house of brands to a record 929 stores in nine states. We also continue to bring innovation to market through recent launches, including the Wonder brand, Good News gummies, High Supply live cartridges and Mindy's chocolate. While others prioritize new retail stores in 2020, Cresco labs is laser-focused on building expertise and executing in the middle two verticals of the value chain to achieve big market shares in the states that matter most, expertise that will continue to create competitive advantages for years to come. Third, our retail platform outperformed. 2020 retail revenue was $202 million, an increase of $154 million or 316% from 2019. Q4 same-store sales grew 166% year-over-year on a basis of 15 stores. Our average revenue per store for the 19 stores open during the entirety of Q4 was $3.6 million, by far the highest among tier one MSOs. While Cresco labs remains dedicated to the middle two verticals of the value chain, our Sunnyside platform supported by our team's execution of an omni-channel capability produced massive same-store sales growth, attracted more customers, grew transaction sizes and earned an outsize share of the market. We opened one new Sunnyside location during the fourth quarter in Naperville, Illinois on December 23rd, making Cresco Labs the first and still only operator to open all of our eligible stores in the state. And other example of how we're strategically developed high volume retail outlets and executing on all of our opportunities in limited license states. Fourth, we took share in California. In 2020, while California state sales increased 25%, Cresco Labs California revenue more than doubled since integrating Origin House in Q1. In the world's most competitive cannabis market, our brands continued to be received exceptionally well. Our brand FloraCal was a top 10 flower brand in California during Q4 and partner brand King's Garden improved to third on the list. Cresco Liquid Live Resin continues to grow and is on the verge of the top 10 in the vape category and King's Garden Shatter was number one in its category. There's no better test for an operator's ability to execute in wholesale than competing in California. Quarter after quarter after quarter, we took share in this state in 2020. Over the long-term to build a truly national cannabis company, winning in California is a prerequisite. And we look forward to growing our share in 2021. Fifth, we generated substantial operating leverage as we scaled. As CNA as a percentage of revenue went from 48.6% in 2019 to 31.3% in 2020, to put it another way while our SG&A expense was $23 million higher in Q4 2020 than in 2019, revenue grew $121 million over the same period. This is how you create long-term growth and sustainable profitability. Make the investments in people and processes to support growth, then execute the strategy and scale efficiently. The U.S. cannabis industry saw massive growth in 2020 and Cresco Labs consistently outpaced it. And for the framework we laid out at the beginning of the year, we executed. We delivered on what we set out to do resulting in the largest year-over-year growth, top and bottom line among tier one MSOs, the most wholesale revenue in the industry and the highest performing retail platform, strategic breadth, depth, and execution. In 2021, it's rinse and repeat. And as we deploy our playbook in more states, we will drive substantial growth from those markets. Here are the three ways Cresco Labs will deliver growth and shareholder value in 2021. First, executing our playbook in the most strategic markets through organic growth and accretive M&A. Our goal is ultimately to achieve top three market positioning in all 10 of our strategic states. Just as we did in Illinois and Pennsylvania in 2020, we're executing our playbook to go deeper and more markets. We've seen the power of executing the strategy already. As a reminder, we grew revenue 96% in the second half of 2020 versus the first half. In 2021, cultivation and manufacturing expansion projects are underway in Massachusetts, Ohio, and Michigan, that will allow us to drive robust wholesale growth in the second half of the year.  We've also recently announced three phenomenal acquisitions in Florida, Ohio, and Massachusetts. Through our enhanced M&A framework, we've deliberately canvassed opportunities across the sector and found accretive assets with premium cultivation, differentiated retail and strong management teams that will further our vision of becoming the most important company in cannabis. Through the Bluma transaction, we gain access to the key market of Florida. With Bluma's ultra-premium flower cultivation and highly productive retail stores will enter the state with competitive advantages, that'll drive top line growth and market share gains. We will also immediately benefit from the unique margin profile achieved in Florida's forced vertical operating environment, that will be new to our P&L. With an expected close in Q2, we look forward to entering Florida and amplifying operations this year to establish a material market position in the Southeast. In February, we closed down the Verdant acquisition and adding four retail stores, all which reside in dense population centers of Ohio, the seventh largest state in the country. As we increase our processing and manufacturing operations, Ohio will represent another opportunity to achieve a 100% wholesale penetration in the back half of the year. Finally, last week we announced the definitive agreement to acquire Cultivate, a long time operator in Massachusetts. Combined operations upon closing we'll include nearly a hundred thousand square feet of active canopy, three adult use retail locations and three medical retail locations, the maximum allowed for cultivation and retail in the states. This transaction will bulk Cresco Labs into a top three position in Massachusetts, the Northeast's largest adult use market. Again, the third such billion-dollar-plus market, where we will have a top three share. Upon closing the transaction expected in Q4, Cresco Labs will operate the maximum number of retail stores in four of our six states with retail limits. At the precipice of a transformational moment in U.S. cannabis now is the time to further our leadership in the country's of most important markets. Second, increasing our leadership is the number one wholesaler of branded cannabis products. In 2021, our brands will reach more shelves across the country, will generate greater wholesale velocity and will increase supply in key states like Massachusetts, Ohio, and Michigan. Automation and process improvements will not only increase capacity and throughput from our existing facilities, but will further enhance the quality and consistency of products for the benefit of consumers. We'll rollout new brands along our innovation pipeline as we continue to match our offerings with consumer needs. And to us being the best wholesale operator means going beyond having the single best-selling cannabis brand in the country. In 2021, you'll see us continue developing our portfolio of leading brands to serve all segments of customers, occasions and form factors to take share across categories. Third, operating high volume strategic retail stores. In 2021, we'll continue to refine our retail model to drive performance that exceeds pro forma share and state averages. This year we could potentially see the return of tourism and increased foot traffic, which may challenge them operator's ability to manage throughput. We look forward to the test as we continue improving our four wall economics and executing a superior omni-channel approach to retail at Sunnyside. Our record setting results in 2020 clearly proved the value of our differentiated strategy and how our best-in-class ability to execute it. We're winning this industry by building the most strategic geographic footprint, establishing top three positions in each of those markets and prioritizing the middle two vertical to the value chain. In 2021, it's rinse and repeat, and we'll execute our playbook to meet the needs of our stakeholders, while driving growth and shareholder value at the risk of being repetitive, strategic breadth, depth, and execution. I'll now pass the call to Dennis, our CFO, to provide highlights from our financial results and to discuss our capital position.
Dennis Olis: Thank you, Charlie and good morning, everyone. 2020 was a remarkable year for Cresco Labs. Our investments in strategic states, our leadership in the wholesale distribution of branded products and our highly efficient Sunnyside retail model has led to outstanding results. For the full year, we generated 271% top line growth, the highest among tier one MSOs; 30% improvement in SG&A as percent of revenue, also highest among tier one MSOs; $116 million of adjusted EBITDA for the full year, 15 times more than 2019. We also strengthened our cash position exiting 2020 with $136 million in cash on the balance sheet compared to $49 million at the end of 2019, thanks in part to $39 million in positive operating cash flow over the past two quarters. Revenue in Q4 was $162 million, an increase of $9 million or 6% sequentially from effectively the same asset base. Revenue mix for the fourth quarter was 56% wholesale, 44% retail. Most importantly, while state market growth was metered after incredibly strong Q3 Cresco Labs capitalized on the opportunity and took share in several states. 86% of revenue was contributed from our top three states in 2020. We set out to establish material positions in Illinois, Pennsylvania, and California and we did. As we dedicate our resources to more states in 2021, we'll see increased contributions across our footprint and continue to diversify our growth. Going forward, we'll provide this metric on an annual basis as a guidepost for our state by state revenue mix. Fourth quarter operational gross margin was 55%, a 192 basis point improvement sequentially. Similar to 2020, we expect to see some variability quarter-to-quarter over the coming year as new cultivation facilities come online and our revenue mix shifts between states. However, we expect there is still room for upside to gross margins as we achieve scale in more states and continue creating efficiencies across our footprint. Excluding share-based compensation and one time costs, SG&A was 27% of revenue compared to 26% in Q3. We'll continue to invest in automation, product innovation, consumer analytics, and our brands to support our next phase of growth. While this will add some variability to SG&A as a percent of revenue quarter-to-quarter, we fully expect to see continued improvement, especially in the second half of the year and beyond. Fourth quarter adjusted EBITDA was $50 million, an 8% increase from Q3. As a team, we're thrilled with sustained profitability exhibited by our business as we help EBITDA margin over 30% while reinvesting to support greater scale. Q4 net CapEx was approximately $8 million. Q4 operating cash flow was $21 million compared to $18 million in Q3, resulting in record free cash flow of $13 million in the quarter. During the quarter, we amended our debt facility extending the maturity to January, 2023, increasing our prepayment flexibility and upsizing it by $86 million to fund the expansion of our operations. We exited Q4 with $136 million in cash and subsequent to the quarter raised an additional $125 million putting our pro forma cash position at $261 million. And this additional raise, we were pleased to include seven new and existing institutional investors, all of whom value our differentiated strategy and execution. Our capital position has never been stronger. And in 2021, we intend to pursue both organic growth opportunities and additional accretive M&A to generate returns and shareholder value.  Also subsequent to the quarter, we expect to complete the divestiture of 180 Smoke, a legacy asset from Origin House. 180 Smoke historically contributed about $2.5 million of revenue per quarter, but was not part of our core strategy. We continue to stay disciplined and thoughtful about capital allocation, operating only in the most strategic markets with a goal of achieving top three market positions in each. I'll now briefly touch on prevailing market dynamics received so far in Q1. Overall, 2021 will be another incredibly strong year of organic market growth around the country, but we recognize that seasonality and short-term demand trends do exist. In Illinois, for example, only two new retail stores that opened year-to-date as of March 8th. However, we've seen a handful of new stores open just in the last two weeks and more openings are expected between now and the end of Q2 as we wait for the next 75 dispensary licenses to be issued and open. In California, elicit supply is harvested and becomes available in Q4, and we therefore see a stronger cadence of market growth in Q2 and Q3. Despite these short-term dynamics, our strategic footprint offers ample opportunities and our strategy will continue to enable us to grow above the total market, especially in the second half of the year. After record performance in 2020, we'll repeat the playbook for success in 2021. We're making the investments today to expand cultivation and manufacturing, build up backend operations and grow our team to drive substantial top line growth for the future. Additionally, strategic acquisitions like Florida and Massachusetts provide substantial platforms for long-term growth and sustainable profitability. At Cresco Labs, we intentionally focused on growing the company in a way that creates success today, while also planning for the long-term. You see us in our approach to the value chain. Branded products and wholesale distribution, not only providing incredible revenue opportunities today, this is also where the most value will be derived long-term. We're taking the same approach to potentially banking reform. We're executing operationally, given the regulations today and simultaneously preparing for the future. We recently filed forms 40-F, F-8 and F10 with the SEC to begin registering our shares in the U.S. We also plan to begin reporting under U.S. GAAP this year. When changes happen at the federal level, we will be ready to capitalize on the opportunity. In summary, 2020 was a remarkable year. We grew our market share in several key states. We executed the integration of Origin House and took meaningful share in California. We are the number one wholesaler of branded cannabis products. Our retail stores produced massive same-store sales growth, and are the most productive on a per store basis among tier one MSOs. On top of that, we generated 30% EBITDA margin and positive free cash flow in both Q3 and Q4. With pro forma cash of $261 million, our capital position has never been stronger, and we're prepared to execute on the opportunities in front of us. We're encouraged by the increased engagement we're seeing from the capital markets from long-term participants, new entrance, and from those still on the sidelines. We echo their excitement about the future of this industry and look forward to another outstanding year ahead. Thank you for your time. I'll now pass the call back to Charlie for final remarks.
Charles Bachtell: Thanks, Dennis. The last 12 months will be remembered forever for the challenges we all have experienced and the change that had to be managed. As we put 2020 behind us, it's important to note challenges and managing change will be a constant in this industry. A dynamic complex regulatory structure and unpredictable events will be par for the course for years to come. That's why nothing is more important than a company's ability to articulate a sound strategy, manage through change and execute despite any challenges that arise. We built Cresco Labs to succeed in the status quo, as well as in the inevitable progress we anticipate throughout the state and at the federal level. Everything we've done to grow as an organization from our strategic regional footprint, disciplined capital allocation, emphasis on social impact and equity, engagement in government affairs, focusing on the middle two verticals of the value chain, spearheading omni-channel retail, all of these elements have created our current success, while preparing us for sustainable long-term growth as this industry evolves. We formed this company in 2013 with a mission to normalize and professionalize the industry. And we were achieving this mission. To wrap up, I know I speak on behalf of the entire team when I say that I'm very excited about the future for Cresco Labs. We are validating our thesis and positioned to capitalize on opportunities in 2021 and beyond. Our industry-leading execution was on display in 2020, and it's what you can expect from Cresco Labs going forward. We embrace the challenges of executing in an ever-changing landscape. We don't fear it. We're building the company to win it. Thank you for your time today. I'll now ask the operator to open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Aaron Grey from Alliance Global. Please go ahead, Aaron.
Aaron Grey: Hi. Good morning and congrats on the quarter. So, first question for me, I just wanted to talk a little bit about performance in California. Just if you'd give a little bit of incremental color about how you guys performed there during the quarter, where you guys stand right now in terms of penetration on the distribution side? And then, just updating us in terms of -- I'm going to give a little bit of color there in the prepared remarks, but updating us in terms of kind of your plans to really kind of drive growth there in terms of additional points of distribution and then also introducing the new products there. Thank you.
Charles Bachtell: Good morning, Aaron and thanks for the comments. And as regard -- with regard to California, California, it's the largest cannabis market in the world. So, we're excited. We're encouraged what we're seeing there. And we also know that us being in California, developing a California game plan and executing it is key to long-term success, not only in that state, but across our platform. So, the realization that we were able to create quarter-over-quarter-over-quarter share growth in that state. Now we have not only some of our own brands, but other partner brands on our platform that are in or near the top 10 from a brand standpoint in the state, again, very encouraging and it sets us up well, not only for future success there, but across the rest of the platform. As it relates to additional sell-through and penetration, I'll hand it over to Greg Butler here.
Greg Butler: Hey, good morning. And actually the question, I think, as Charlie mentioned, we remain extremely bullish in California. Q4 as a market, as Dennis mentioned early has a little bit of seasonality with what they call Croptober impacting. But as we look at run rates entering -- ending Q4, as we look at Q1, I'm really encouraged what we're seeing. Regarding distribution, we feel good about our distribution. We remain one of the largest distributors in the state. We'd added a number of accounts in Q4. We continue to add accounts as we now -- so in the Q1. And so from a penetration perspective, we still hold that we have one of the strongest, if not the strongest, number of accounts being called on by a distributor, with plenty of room for us to continue to not only open new doors as new doors open up in the state, but continue to build our distribution of own brand and partner brands across the state.
Operator: Thank you. I was just like to my participants that they will be limited to one single question on this course today. Our next question comes from Camilo Lyon from BTIG. Camilo, please go ahead.
Camilo Lyon: Thanks. Good morning, everyone. I wanted to ask about your CapEx plans for this year. How would you think about your gross CapEx expenditures, and how that ties into cultivation assets that are coming online and how that plays through the P&L? You talked about it back half reacceleration, but help us think about how implications on both the gross and SG&A lines. That'd be incredibly helpful. Thank you.
Charles Bachtell: Definitely question. We're really excited to sort of take that playbook that we've developed and deploy it again in 2020, that'll create these results in 2021. For specific details on what we're doing in 2021, I will get it over to Dennis.
Dennis Olis: Thanks, Charlie. Thanks for the question. So, as Charlie noted, where we're extremely pleased with the return that we have on our invested capital, that we've done historically and will continue to be diligent in our spend. As we look to 2021, you can assume that the net CapEx expense is going to be in the $10 million to $15 million range per quarter. That's after TI improvements. As we've noted in the past, the funds for the expansion in Massachusetts, Ohio and Michigan are already funded through previous sale leasebacks and we'll continue to use those funds to build the capability in our cultivation and processing centers in the first half of the year, so that we can reap the benefits of those expansions in the second half of the year. In terms of where the CapEx expense is going to hit on the P&L, the bulk of the $10 million to $15 million expense per quarter will be spent in the area of COGS around automation, around expanding our cultivation capabilities and so forth. There will be small component of that that will go toward backend improvements and automation and IT systems and accounting and so forth. But 80%-plus of the expense will fall into the COGS line.
Charles Bachtell: Operator, that's Charlie. We're okay with one follow-up question, too.
Operator: Okay. Camilo, your line is still open.
Camilo Lyon: Okay. Great. Thank you. Thanks for the color on that. That's very helpful. With respect to the Bluma acquisition, I'm curious to understand how you envision going after this market. It's a very large market. Bluma has got a solid position in there from a product perspective, and a premium price perspective. How do you plan to leverage this acquisition? And ultimately, what is the vision that you have for this market?
Charles Bachtell: It's a great question. We're very excited about the Florida market. It's one of the biggest markets in the country. It fits our overall strategy, of course, with having the most strategic geographic footprint in the industry. And the way that we look at that market, we've been asked before, it's not a wholesale market, does that fit the Cresco sort of platform strategy? And I -- our thesis and our perspective on that is, it absolutely does, because it's not a wholesale or retail market. It's an execution market. The way that that structure is with the forced vertical integration, where you're not able to rely on third-party product to put on your shelf, and you're not -- also not allowed -- and you're not able to rely on third-party shelves to get your product into, you've got to be self-sufficient, you've got to prove that you can build cultivation facilities, that you can bake quality cannabis, that you can open retail stores, and that you can get your products in the hands of consumers. And when you look at Florida from that perspective, you're competing against yourself. It is an execution game. And as we always talk about, we are execution. That's what we do. So, it really -- it fits our platform. It fits our strategy very well. And we see a lot of upside still to come in that Florida market, not only from a medical market standpoint, but of course, an eventual flip to an adult use structure there too. So, very excited about Florida.
Camilo Lyon: Is this a testing learn year for Florida, or will you accelerate the growth opportunity?
Charles Bachtell: I think we'll be accelerating the growth opportunity there. Again, it's our -- it's execution. So, it really is. It's reliant on us to push that ball forward there. And, of course, the benefits of Florida to our P&L and we're the only one of our peers that don't have those unique margin profiles of Florida in the P&L yet. So, we're very excited about the state.
Camilo Lyon: Got it. Thanks very much. Good luck.
Charles Bachtell: Thank you.
Operator: Our next question comes from Vivien Azer from Cowen and Co. Vivien, please go ahead.
Vivien Azer: Hi, thank you. Good morning. Charlie, given the news that's coming out of New York in the last, call it, 24 hours, I was hoping that you could comment on some of the press reporting around the perceived market structure, whether it's going to be two tier or three tier, and how you would think about executing against either of those paradigms. Thank you.
Charles Bachtell: Yeah. Good morning, Vivien. Thanks for the question. Look, we are very excited. We're encouraged about the progress that we're seeing in New York. Anytime you have a state that is having these levels of discussions and potential agreement on migrating from just medical to -- medical and adult use is a phenomenal leap forward for not only the industry in that state, but the industry at large. So, I think it's also though it's premature to really put too much stock in what we're hearing so far. It's very limited. We're -- I think we're all better -- that are engaged in the state are active in conversations. New York is interested in making sure that all stakeholders that are impacted by the decisions there have a voice and they're taking all of those into consideration. So, I think it's a little premature to comment too much on what's been released in the press so far, and we look forward to seeing a draft of actual bill language. Hopefully, we'll be seeing that soon. As far as the two tier or three tier distribution platform, again, this is where Cresco is built this organization to really be successful with either structure -- as either one of those structures is a potential eventuality for the industry at large. So with us focusing on the middle two vertical of the value chain, while also having distribution in certain states, our house of brands platform, that sort of approach is really good for not only self-distribution, but if there is a three tiered system that gets developed at some point in time, that's what the -- that third tier of distributor also wants to distribute as well. And I think Greg, do you have additional comments on that area? 
Greg Butler: No. Good morning, Vivien. I think Charlie hit on most of it. I think because we've always been a wholesale customer focused operator, we would review it through your system as being very similar. We would compete to make sure that we've got our share of those trucks going out. And we know that from any other industry that operates in a similar manner, that the ability to bring quality scale products to market, innovation onto those trucks is a way that you can not only win wholesale customers, but win over distributors too. And so very core to our business today and something that we think we could leverage, if that's the way this goes.
Vivien Azer: That makes some sense and certainly consistent with your commentary around -- your focus on wholesale. So to follow-up on that then. Obviously, the acquisition in Florida is going to skew some of those metrics a little bit, but can you talk about where in the medium term basis you guys would aspirationally look through your revenue mix to land wholesale versus retail? Thanks.
Charles Bachtell: I might kick that over to Dennis.
Dennis Olis: Yeah. I think, what you'll see is, as things continued to grow here and we start to get into Florida and Massachusetts and other states and build capabilities, expand in California and other places, I think that ultimately are -- we will land somewhere in the 60%/40% range, 60% wholesale, 40% retail.
Vivien Azer: Perfect. Thank you very much.
Charles Bachtell: Thanks, Vivien.
Operator: Our next question comes from Kenric Tyghe from ATB Capital Markets. Kenric, please go ahead.
Kenric Tyghe: Thank you. Good morning and congrats on the quarter. Charlie, just a different tack on the earlier question with respect to New York. Can you speak to what needs to happen in terms of evolution or readiness for this to work? Now you've seen a number of states taking very different approaches in terms of very -- some of them was particularly protracted need times. Virginia would jump to mind, others where they perhaps rushed it off and ended up face planting. Can you just speak to the readiness on the ground or rather the lack there on what needs to happen in New York for this to work through the course of this year?
Charles Bachtell: Yes. It's a great question. And thanks Kenric for the nice comments. Again, very encouraged to see the progress in New York. You're talking about the fourth most populated state in the U.S., the financial capital of the world. So, we really like the way this is going and it is progress for the industry and for the state and for Cresco. So, as far as what we've seen in our experience is really key to a successful entrepreneur adult use program. And I'll use Illinois, probably the best example is the incumbents leading the charge because the infrastructure to whatever extent is built, the operating experience is built. Of course, you need a new entrance in the space. You need a more inclusive diverse entrance in that space. And that's going to be a priority in maybe the way that New York is approaching this, but it's really important to have those incumbent experienced successful operators lead the charge. And I think that's something that we'll see with how New York unfolds As far as readiness, to your point, it has been a fairly limited medical market to date. Some retail infrastructure is there. There's limited production infrastructure. But only speaking for Cresco Labs, this is kind of our sweet spot. As we've showed over the last couple of years, we know how to build buildings. We know how to call the fate cannabis. We know how to open more stores, and we know how to get product into the hands of consumers very efficiently and very quickly.
Kenric Tyghe: Thanks, Charlie. Great color. And if I could just turn it back to Illinois quickly. Your cap rate --your own 10 store footprint. Obviously, we have new licenses coming on stream through the year, but only sold two of those in the first quarter. Recognizing it will be lumpy. Could you give some indication as to whether it's potential for a little bit of a catch up here by way of still build in the second quarter? And how you think about, or how we should think about potential evolution and a still exit in the Illinois market looking into 2022?
Charles Bachtell: It's a great question. And it's just -- it's a great talking point too, because this is where -- you've to build these organizations for the long-term plan in the industry, and you will see some lumpiness from quarter to quarter as these new evolutions of these markets unfold. To your point, there was very limited store openings in the first two months of Q4. And then there was quite a few store openings in the last, like three weeks of Q4. We're seeing a similar trend developing Q1 where we only had two stores open, I think before March 9th. And then you've had a handful plus of stores open in the last two weeks. And we expect that momentum to sort of continue, especially as -- hopefully we continue to out of the COVID issue, weather gets nicer. Those are other things that have impacted Q4 and Q1, but we were very encouraged by what we've seen in the last two to three weeks, as far as momentum on that side. And I know Greg's got some perspective on this too. Greg?
Greg Butler: Good morning, Kenric. I think the only thing I'll add to that is you're absolutely correct. We closed Q4 85 active dispensaries in the state. We had estimated a few more to open each month in Q1, and that's been slow to your earlier point. And what I would tell you right now is what we're seeing is we are looking towards Q2 here is that dispensaries are starting to open up. And so that definitely your question about catch up. We will now start to see kind of the revenue from those stores materialize, as we've seen in the past, which is these stores open and they're fairly incremental volume. So, we would expect that going forward.
Kenric Tyghe: Great. Thank you.
Charles Bachtell: Thanks, Kenric.
Operator: We have a question now from Pablo Zuanic from Cantor Fitzgerald. Pablo, please go ahead. Your line is now open.
Pablo Zuanic: Good morning. Thank you. Two questions, Charlie. First, just on Pennsylvania. I mean, if I try to put your comments together with the data, it would seem that Pennsylvania as the market has softened, particularly in the fourth quarter. And I know it's a backward looking question, but if you can comment on that. And what I'm coming from is I'm looking at BDS Analytics in California, San Marquis was down 6% in the fourth quarter. Illinois, the official data shows it was up 14%. Pennsylvania, there's no official data, right? But you said you gained share in all those three states and your sales were up 6% sequentially. So that would anything that Pennsylvania softening. Can you comment on that? You probably got a good view of that market, given your present -- your large presence there.
Charles Bachtell: Yeah. Thanks, Pablo. I think what we're -- to be specific about it. But again, we saw a great sort of performance in Q4 as a sector, but then there was definitely certain markets that did better than others. As you mentioned, California was down from Q3 to Q4, but year-over-year, Q4 was up 20% compared to 2019. So softness in California where we were able to take share. Pennsylvania, I think was, -- I don't know that there was softness necessarily. But I think with our numbers being so heavily weighted in those three states, that's where you get that balancing of the California results with fairly stable results in Illinois and NPA. I would also say this is an opportunity to clarify too that wholesale performance in a state doesn't mirror a retail performance in a state on a one to one ratio in those quarters. So, you've also got a bit of that.
Pablo Zuanic: Okay. Thank you. And then just -- we see that in the future of the advent of interstate trade, just tell us what are your views on that? I know it's a crystal ball questions, but if you're talking to investors and analysts, how do you come -- I guess it's two part question, what do you need to do to adjust your operation to interstate trade? Is it a huge adjustment? Are you well positioned and how would you compare yourself rather than in terms of that adjustment you have to make? Would you be in better position than others? Just comment on that if you can? Thank you.
Charles Bachtell: Yeah. Certainly, we are excited for that potential, right, to have the industry open up and really be a normalized industry with national reach and depth. It has always been a part of our thesis and the way that we built the business, hence focusing on those middle two verticals of the value chain, creating those brands, figuring out distribution. It also lends to our very strategic approach to our state footprint, where we have developed regional hubs, right, points of execution of depth, whether you look out West, whether you look in the Midwest, whether you look in the Northeast and now with our entry into Florida. So, again, focusing on the middle two verticals of the value chain, creating those brands, and then also establishing the strategic footprint really prepares us well for the eventual migration to interstate commerce.
Pablo Zuanic: Okay. if I can add one last one. In the case of Illinois, obviously this new 75 stores have been slow, right? I think there's been lawsuits, maybe bureaucratic issues. I mean, what can other states learn? And thus what's happening with Illinois. And this was very well intentioned, right, of giving one store reg to existing operators and then 75 new licenses for new commerce. What would other states learn from that experience in implementing that very well intentioned? Thanks.
Charles Bachtell: Yeah. I'll try and give you a brief answer, because I think to unpack that could take hours. But I think it would very simply incumbent -- the strength of the incumbents in that market are incredibly important because if you look at Illinois and the phenomenal year that Illinois had, every single dollar was generated by incumbents, every single new job was created by incumbents. So, it's really important to be able to rely on the existing operators in a state, especially when you have high quality, high performance operators. The other thing is you've got to -- you have to be sensitive to the components that go into the scoring metrics. You also have to try and make them very objective and sort of insulate yourself from the potential challenge going forward. And it's easier said than done. So, again, I think we could spend a couple hours talking through that, but relying on incumbents and then really, really moving forward with an objective evaluation and distribution is key.
Pablo Zuanic: Thank you.
Operator: Our next question comes from Michael Lavery from Piper Sandler. Please go ahead.
Michael Lavery: Thank you. Good morning. Just wanted to sort of follow-up on some of the retail questions then and the interstate commerce piece and tie them together a little bit. Use some of the metrics you gave on your retail stores are certainly solid. And so even if your focus is more -- the wholesale brands kind of middle piece of the value chain, certainly seems like you can walk and chew gum. So, as you think about interstate commerce, even if it's unclear how and when it may evolve, the one thing that seems clear is that the retail stores will certainly be specific to one state. And so, isn't that still kind of a nice anchor to have? And how much, I guess, are you deemphasizing the retail stores? It sounds like maybe not too much, but is that the right mindset for how to think about the role they could play in an interstate commerce world, just giving geographically specific anchors. And is that important?
Charles Bachtell: Yeah. Thanks for the question. Greg, you want to take this one.
Greg Butler: Hey, good morning. The restate your question is, are we deemphasizing retail? What I'll tell you is, retail is a part of our business. Now our core business will always has been, always be wholesale. But on the retail side, as Charlie mentioned earlier, we -- our cap in Illinois. We were allowed to have 10, we have 10. We will, with Cultivate, be at our cap in Massachusetts of what any operator can have, which is a three, and in Ohio. And in many ways, Bluma the deal for us, one of the levers for growth is to expand its retail footprint in Florida. And so, our real objective right now is to maximize both the revenue and the margin we get out of the retail we have in the states, which we are fully utilized today from our cap perspective, and then continue to build out retail and markets where it makes sense. But long-term, our view is if you look at the markets, we operate in, take a market like Massachusetts, we are capped at three and there will probably be somewhere of a hundred new dispensaries opening up in that state alone. And so we want to make sure that while we are maximizing the merging revenue of those three stores, we're really playing across the other hundred plus stores that exist in that state. And I think if you go state-by-state like California or Michigan, you see those dynamics at play, which is ultimately, you want to play across distribution, not just within the cap number of stores we're allowed to operate. So, very important today. We're maximizing what we can get to those stores, but again, long-term vision is playing across the distribution that we know is coming fast and furious.
Michael Lavery: Yeah. No. A good perspective and makes sense. Thank you. Just one more on pricing. Can you give a sense of how you see that maybe evolving or not, and specifically thinking maybe of some states where capacity has been ramping up like Pennsylvania or Illinois, are you seeing pricing hold steady? Is there any downward pressure? Can you just give some color on how you're seeing those dynamics evolve?
Greg Butler: Continue and take out as well. It's pricing -- we obviously get a lot of questions on pricing. There's a lot of hypotheses that pricing is going to come. We're watching that closely. I would tell you right now, while there was some price compression in 2017, 2018 across the market, it rebound rebounded, and we're not seeing the price compression today. Now, we will always look to the future. What we would say is our business is well designed handle pricing, scale and scale costs of being a large producer like ourselves gives us that cost advantage, which should make sure we stay -- if pricing comes in the future. But I will tell you as it stands right now we're just not seeing the compression today.
Michael Lavery: Okay. Great. Thanks very much.
Charles Bachtell: Thank you.
Operator: Our next question comes from Matt McGinley from Needham. Please go ahead, Matt.
Matt McGinley: Thank you. I agree with your assessment that your retail productivity is outstanding. Do you think you can sustain that level of retail revenue per unit with the addition of retail units in Ohio and Florida? Or maybe put another way, can you comp enough in Illinois, which presumably is the majority of the reason why your productivity is so high to offset? What will probably be what I would assume would be lower volume units in Florida and Ohio?
Charles Bachtell: Good morning, Matt. Thanks for the question. Again, couldn't be more proud of the team on the retail side in the productivity and the efficiency that they've been able to create. And I'll hand it over to Greg here for more color, but really the systems are, I would say, the biggest driver and processes are the biggest driver of why you're seeing such an efficient platform develop here at Sunnyside. Greg, more color?
Greg Butler: Good morning, Matt. You are right as we open more stores, you do have to plan for productivity on a per store basis would go down. And so, you're absolutely correct there. But what I will tell you though, even in our core stores, we've just begun to really engage on e-commerce platform on empire -- figuring out how do we get more revenue out of every trip to one of our stores, whether that's through different product assortment offerings, whether that's through basket builders, whether it's through incenting, kind of if you're a flower only consumer to come in and try and edible, there is tremendous growth in productivity that we can see in our stores ahead of us as we get smarter on the e-commerce side. But from a pure, retail business perspective, you are right. As you open more stores, we do have to plan for a productivity per store to the point DePaul. But lots and lots of growth ahead of us and how we can continue to grow those trades.
Matt McGinley: Great. And on the adjustments to, or the add backs, I should say to gross margin and G&A, they really surged in the fourth quarter. I thing $18 million added back to G&A and $10 million related to gross margin with rebranding and expansion costs. Can you walk us through what that $18 million was in the fourth quarter and given the announced M&A you had in the first quarter, does that remain elevated into this year, or is that costs that may have been pulled forward into the fourth quarter? And then can you walk through kind of what those marketing spend costs and things related to product launches are an ongoing thing? Why should we exclude that $10 million from the gross margin on an ongoing basis? Like, what's really one-time in nature about that sort of spent.
Dennis Olis: Yeah. Thanks for the question. So, from an add back standpoint, as it relates to -- to start with the gross margin and cost of goods sold impact the $9 million or so, the bulk of that is the final cleanups associated with Origin House. And that's a legacy of rebranding the products, cleaning up some excess inventory and so forth. Those costs will go away -- are gone. So, we will no longer carry those costs going into 2021. And this is a final cleanup of a lot of the acquisition and integration costs associated with Origin House. So, going forward, that won't exist. From the $18 million that you noted back in -- down in SG&A, a large component of that -- and you'll see that in our filings that come out later today or tomorrow is associated with a deal that we consummated with a former executive of the company to a settlement that had -- the negotiations had begun last quarter, we resolved at this quarter. So, we did take a significant expense for that in Q4. Outside of that -- so that's again another one-time cost. There is a small amount of COVID cost in there that will not carryforward into 2021. And then the rest of it is very small dollars associated with acquisition costs, a little bit of severance costs and the like. So, when you look at both the rebranding costs, which we carried in -- we just want it to be consistent and carrying that forward through the full year of 2020, those costs will not carry into 2021. When you look at the $18 million of SG&A, the bulk of that will not carryforward. Those are one-time cost and will not carry into 2021 as well.
Matt McGinley: Okay. Very helpful. Thank you.
Charles Bachtell: Thank you, Matt. 
Operator: Our next question comes from Neal Gilmer from Haywood Securities. Neal, please go ahead. Your line is now open.
Neal Gilmer: Yeah. Good morning. Maybe just one question for me on -- for the follow-up on the Florida market. Like from Bluma perspective, one of the constraint for going aggressively into that market was obviously the balance sheet, with respect to opening more retail story, at least that's my understanding. When you take a look at the asset -- when you finished the acquisition, can you give us a sense as to sort of what sort of cultivation levels they have, and does that support more retail openings in the near term? Or is your focus need to be on expanding cultivation? And then we should look towards either late this year, early next year of increased retail presence in the Florida market.
Charles Bachtell: Yeah. It's a great question. This is Charlie. I'll take it. Again, the philosophy of Bluma the approach to the business, super strategic, very in line with Cresco. You only opened as many stores, high volume strategically located stores as you need in order to get your volume of product through them. So, I wouldn't -- so the way that we're looking at it, as we add additional capacity from a cultivation standpoint, processing standpoint, you will see stores open. We've already -- there's public disclosure of investment down there at to expand the capacity. That's something that we will continue to do in a post-closing scenario. And so, I expect to see growth down there -- second half realistically focused and definitely into 2022. You'll see a commitment from Cresco to that Florida market. We liked a lot.
Neal Gilmer: Great. Thanks very much.
Charles Bachtell: Thank you.
Operator: Our next question comes from Derek Dley from Canaccord. Derek, please go ahead.
Luke Hannan: Yeah. Thanks. Good morning. This is Luke on the line for Derek this morning. I just wanted to a couple of P&L questions. I guess, I just wanted to dig a little bit further on how you see your operational gross margin playing out over the course of the year. I realized that Bluma closing in Q2, we're likely going to see a step-up in operational gross margins there, plus the continued efficiencies that you're going to realize that of your assets. Should we be thinking about it as sort of a consistent increase over the balance of the year with a more material step-up in Q2, or are there other factors we should be considering?
Dennis Olis: Yeah. Thanks, Luke for the question. So, we're real pleased with the improvement that we've seen in our manufacturing costs from last year to this year. We've gained a couple hundred points -- basis points over that period. When we talk about and think about our gross profits going forward, there's going to be volatility from quarter-to-quarter. Over the long haul, we do expect to see improvements, but from quarter-to-quarter, there could be volatility as the mix might shift between states, and California may be taking on a little bit higher revenue mix, that would -- could have a negative impact. There could also -- there will also be -- as we start to build some of the cultivation costs in Ohio and Massachusetts and Michigan, just as we saw in the first half last year, there there's a little bit of volatility as you bring a new site up, that could have a negative impact. That's all being offset by the fact that we're doing a lot of great work in terms of automation and improving our yields in our factories. Ty Gent has joined the company as COO and he's bringing a lot of great expertise around manufacturing and processing that will help drive efficiencies throughout our cultivation and packaging center. So, again, just in summary, there's a lot of good things, automation, so forth, that's happening. That's going to improve margins. The mix that Charlie noted with the Florida and the fully integrated operations there that allows you higher returns. That'll be in part a little bit offset by some of the increases in cultivation and so forth. But overall we would expect it to be a general improvement in gross margins, operational gross profits throughout the course of the year, but there will be volatility from quarter-to-quarter.
Luke Hannan: Understood. And then maybe one for Charlie or just on the Cultivate acquisition, that was impressive. We thought particularly just because of the multiple and it increases your presence in what's a really strong market. If we think about just the M&A pipeline in general and what you're seeing from a multiple basis from a quality of assets basis, how are you viewing the current market?
Charles Bachtell: Yeah. Thanks for the comments. We love the Cultivate transaction for all the reasons. Great team, great people, great track record of execution. And that Massachusetts market, it is already a supply constraint market. And as we've noted earlier, I mean, there's going to be a store that continue to open greater Boston area market has -- is untapped. So very -- we liked that transaction. From what we're seeing across the rest of the opportunities, I think we'll just -- we'll say there's a lot of opportunities out there, but we'll continue to be disciplined and diligent in the way that we look at M&A to gain greater depth in the markets that we're already in. And we'll continue to be very -- the M&A team that we have in house now is -- it's phenomenal and the level of diligence that we're putting into these deals structures to really create the accretive outcome is at another level. So, really happy with what we're seeing and that'll continue from us.
Luke Hannan: Understood. Thanks for the commentary.
Charles Bachtell: Thanks, Luke.
Operator: Our next question comes from Andrew Partheniou from Stifel GMP. Please go ahead Andrew.
Andrew Partheniou: Good morning and thanks for taking my questions. Maybe just continuing on the M&A line here. You do have lots of organic growth opportunity with Florida, especially and your other markets. Would you say that organic would be a little bit more the focus here going forward? We've heard across the spectrum that pricing overall in the M&A market has increased somewhat, has that made -- making deals a little bit more difficult, especially in the context that you guys are doing some great due diligence and being cognizant of spending and being disciplined on accretion.
Dennis Olis: Yeah. Thanks for the question, Andrew. I think you're right. And I would say even my answer to the previous question, it's not just sort of the M&A evaluation team, it's the growth strategy evaluation team. So, you're absolutely right. It is opportunities for accretive expansion through M&A, but also accretive expansion organically. That's constantly being weighed in how we allocate capital for the highest return on invested capital. So, yeah, you'll see both from us. And we'll only do M&A where we see that it is a better outcome than investing that dollar in organic growth. So, it's all part of the mix, all part of the evaluation.
Andrew Partheniou: Great. And maybe also continuing on a previous theme of pricing. Massachusetts has been a rec market for some time now, and yet the pricing is still very strong on the wholesale side. Looking to Illinois and Pennsylvania, I would say firstly in Illinois, especially those 75 new licenses, we're not exactly sure when they're going to come online. It seems like retail store productivity levels may have hit a short-term ceiling. What do you think it could happen between now and when those 75 new stores would come online, do you think pricing could change given the fact that Massachusetts still remains very strong even though it's had quite some time as a rec market and similar question on Pennsylvania?
Dennis Olis: Yeah. It's a great question. And it's something that we think about constantly. We like to see where margins are now. They're great. At a very high level what happens between now and when those 75 licenses get issued is that the rest of the potential 110 dispensaries, that the incumbents were allowed to open, actually get open. So, we still see some store growth there. But I know Greg you've got perspective on margins and price long-term.
Greg Butler: Yeah. Good morning. I think, look, as you mentioned, phase one is more stores open. We do tend to see that those stores are fairly incremental as they allow new shoppers to access the industry and bring new volume. And so, it does tend to drive incrementality. I think you're also writing to then phase two as you get more competition in retail, you are going to have increased pressure amongst retail prices, but that is also one of the advantages of being a wholesale provider and that we are ensuring that we are offering a portfolio of brands that can play at the low price point, the high price point. I think anyone who says -- but Andrew, look at California, you still have premium products selling in California at a premium price as long as the value proposition there. Then you have a lot of value products. So, it is in many ways looking at price architecture, very similar to any consumer goods. And so that is how we've restructured our business. And we feel like if there is price compression in the future -- as I mentioned that earlier in the call, we've got the right scale to help us play costs. We've got the right portfolio to help us split across price points. And if retailers go head to head and take down their individual margin, that's their decision and we'll continue to offer a really strong portfolio of wholesale brands.
Andrew Partheniou: Thanks for that additional color. And just one more housekeeping item. I know you guys already gave color on those $10 million relaunching, rebranding expansion costs. Is it possible at all to the breakout in terms of dollar amounts, what those final cleanups of Origin House were as part of the $10 million?
Dennis Olis: Yeah. I think, Andrew -- I think, we've given quite a bit of color on that in terms of the bulk of those costs being associated with Origin House and getting that behind us. And again, as I mentioned, those costs will not continue going forward. We will be converting the U.S. GAAP in 2021. And as such, we won't carry those cost going forward.
Andrew Partheniou: Thanks.
Charles Bachtell: Thanks, Andrew.
Operator: We have a question now from Scott Fortune from ROTH Capital Partners. Please go ahead, Scott.
Unidentified Analyst: Hey, good morning. This is Nick stepping in for Scott. Just one question here on the branding side, and you began to touch on this in your prepared remarks. But are there any brands you'd like to expand upon here that have seen kind of incremental success in California or through your overall wholesale business? And kind of off of that how has being one of the key distributors within the California market affected the way you guys approach your in-house brand strategy?
Charles Bachtell: Nick, thanks for the question. Greg?
Greg Butler: Yeah. To answer your question, Nick, as we mentioned earlier, we were thrilled with the performance of our brands in Q4. Cresco becoming one of the largest wholesale brands and the largest according to BDS in the country, High Supply and a few other others amongst some of the fastest growing brands in the U.S. have very, very happy with Q4 performance, really excited about what we're going to show on Q1 on brand performance. Regarding distribution in California, we view that as we are building customer relationships, that team out there has done a wonderful job of getting into all the accounts in the state that matter and really building out a strong assortment. Our view in that state is always -- we want to own share of shelf, that can be with partner brands, that can be with our own brands. And so, that's why we focus on both owned and partner there. We believe you can have multiple brands that play in the segment. If you look at assortment of those stores, they take multiple brands in segments. And so, we want to be that distribution partner of choice that is offering whatever the retailer is looking to buy, and we will service that through some of our own, but we will also continue to service that through really strong partner brands like Kings Garden and others.
Unidentified Analyst: Great. That's it for me. Thanks guys.
Charles Bachtell: Thank you, Nick.
Operator: Our next question comes from Graeme Kreindler from Eight Capital. Graeme, please go ahead.
Graeme Kreindler: Hi. Good morning and thank you for taking my question. Just wanted to follow-up regarding the metric you provided of 86% of sales coming from your three core states. I think it would be logic -- logical to expect that proportion comes down moving forward, given ramp up and talking about acquisitions throughout the year. But is there any other more specific detail with respect to the direction or magnitude where that mix might end up for the 2021 year, this year coming ahead. Thank you very much.
Charles Bachtell: Thanks, Graeme. Dennis?
Dennis Olis: Yeah. Thanks, Graeme. The -- like I said, we're at 86% today top three states over the course of the year as we expand in Ohio, Massachusetts and Michigan. You'll see that come down a couple of points. Florida, again, based on the timing of when that closes, that will also be another thing that we'll take the total numbers down. And then as Cultivate hits, which we expect late -- in the -- sometime in the fourth quarter, so that will again have another drop. So, it's hard to predict exactly what the percent will be going at -- by the end of the year just because of the unknown timing of when those deals will close, but it will be a material drop from where we're at today to where we expect to end the year.
Graeme Kreindler: Okay. Understood. Thanks for the color.
Charles Bachtell: Thank you Graeme.
Operator: Our next question comes from Glenn Mattson from Ladenburg. Glenn, please go ahead.
Unidentified Analyst: Hi. Good morning. [Indiscernible] sitting here for Glenn. Some article came out saying that President Biden board with full legalization. Maybe can you -- criminalized and the state do their own thing or maybe he wrote to schedule. Could you please share your view on the Biden administration and where the President stands some on the issue?
Charles Bachtell: Good morning. Yeah. Thanks for the question. It's another one of those where we're really encouraged by the -- even the platforms -- the perspective that they've given so far, that this is a priority -- that this is a criminal justice priority. It's a social equity priority. And again, with critical mass already being reached on a state basis, you've got a lot of legislators in Congress that are from states that have medical cannabis programs and adult use cannabis programs. So, we're very encouraged by what we're hearing. We're encouraged to see safe -- pending in the House and in the Senate. All of these are -- at a macro level when you take a step back so fundamentally important from where we've been since the last century in advocating for a more progressive view on cannabis at a federal level that -- we'll continue to monitor, we'll continue to engage and we'll see where the final language ends up being on these pending and proposed bill, but at a macro level just couldn’t be more encouraged by seeing progress at federal level and the way that we have seen it in the last two months.
Unidentified Analyst: That’s it for me. Thank you.
Charles Bachtell: Thank you.
Operator: And our final question comes from Andrew Semple from Echelon Capital Markets. Please go ahead, Andrew.
Andrew Semple: Thank you, and good morning and congrats on the quarter. My question here, when you first integrated the Origin House assets, gross margin enhancement was important goal for you in 2020. Now that you've had that business for a full year. Are you happy with the current level of gross margins coming out of that state? And do you see a room for further upside in the years ahead as you continue to scale?
Charles Bachtell: Thanks, Andrew. Dennis?
Dennis Olis: Yeah. Thanks, Andrew for the question. So, we have seen a pretty sizeable improvement in gross profit in California from last year, even the first quarter this year when we incorporated Origin House into where we're at today. But I think there is still quite a bit room for improvement. We are continuing to drive cost our as we have been talking about the Origin House cost as well as looking to increase margins. It is a unique situation. There was a lot of third-party products that you -- the margin expectations in that market are less. But we have seen a pretty sizable improvement and we expect to see that to continue to improve throughout the course of 2021 and beyond.
Andrew Semple: That's very helpful. And that's it for me. Thank you, guys.
Dennis Olis: Thank you.
Charles Bachtell: Excellent. With that being our last question, I just want to thank everybody for being on the call today and we look forward to be in back in front of you for Q1 results very soon. Have a great rest of day. Great weekend. Bye-bye.